Operator: Hello, and welcome, everyone, to today's Commercial Metals Company Fourth Quarter and Full Year 2013 Earnings Call. Today's call is being recorded. [Operator Instructions] I would like to remind all participants that during the course of this conference call, the company will make statements that provide information other than historical information and will include expectations regarding economic conditions, the effects of recent capital investments made and other actions taken by the company, the company's capital budget and the company's future results and market share. These are forward-looking statements and may involve speculation, and are subject to risks and uncertainties that could cause actual results to differ materially from those expectations. These statements reflect the company's beliefs based on current conditions, but are subject to certain risks and uncertainties that are listed in the company's press release and described in the company's latest 10-K and 10-Qs. Although these statements are based on management's current expectations and assumptions, CMC offers no assurance that events or facts will happen as expected. All statements are made only as of this date. CMC does not assume any obligation to update them in connection with future events, new information or otherwise. Some numbers presented will be non-GAAP financial measures, and reconciliations can be found in the company's press release or on the company's website. And now for opening remarks and introductions, I will turn the call over to the Chairman of the Board, President and Chief Executive Officer of Commercial Metals Company, Mr. Joe Alvarado.
Joseph Alvarado: Good morning, and thank you for joining us to review CMC's fiscal fourth quarter and full year 2013 results. I will begin the session with highlights for the fourth quarter and full year, and Barbara will then provide further financial details. I'll then close out with comments on our outlook for the first quarter of fiscal 2014, after which, we will open the call to questions. As detailed in our earnings release this morning, we reported net sales of $1.7 billion for our fiscal 2013 fourth quarter, a decrease of 7% from sales of $1.8 billion for the fourth quarter of 2012. We reported net earnings of $4.1 million or $0.03 per diluted share in the fiscal quarter ended August 31, 2013. The results for the current quarter include asset impairments and other charges, which Barbara will cover in greater detail in a moment. Notwithstanding the impairment charges, results from operations were very solid for the fourth quarter, as we posted our eighth consecutive quarter of profitability. Fabricating segment continues to show a profit. Backlogs are solid, and average selling prices improved again this quarter. Our Polish operations also showed significant improvement in their financial results during the quarter. For the quarter, as indicated in the earnings release, the Board of Directors declared a quarterly dividend of $0.12 per share for shareholders of record on November 6, 2013. The dividend will be paid on November 20, 2013. For the full fiscal year, we reported net earnings of $77.3 million or $0.66 per diluted share on sales of $6.9 billion. As we complete our 2013 fiscal year and begin fiscal 2014, I will highlight market conditions in the key markets in which we operate, as well as update you on the progress we are making on various initiatives we've undertaken to reshape the business. In the U.S., both leading and lagging indicators that impact our business are strong. As an example, the architectural -- the August Architectural Billings Index posted the highest mark since February and has been above 50 for 12 of the last 13 months, indicating an expanding market. The ABI is a key leading indicator of nonresidential construction activity. Furthermore, the McGraw-Hill Construction forecast is showing double-digit growth in nonresidential construction for the next 3 years. While a number of market indicators are showing signs of improvement, volumes and margins continued to be negatively impacted by a significant flow of imports from Turkey and Mexico into the U.S. Commercially, 4 of our -- 4 of 5 of our U.S. steel mills continue to be ranked in the top 10 in overall customer service by the Jacobson & Associates' Steel Customer Satisfaction Report. This recognition highlights our commitment of unparalleled service to our customers. The survey results also highlight our leading-edge e-commerce solution, myCMC. This online tool allows our mill customers to, among other things, search available inventory, place orders, track deliveries and review invoicing. Having started this in the east region mills, we are expanding use of this tool to our other mills and other lines of businesses. Internationally, European markets are displaying modest signs of emerging from recession, though sustainable growth is not yet evident. Resolution of the illegal imports into Poland from Latvia helped our Polish operations return to profitability this quarter. In Australia, where credit remains tight and the public sector building activity is weak, residential construction is at its 3.5-year high. The recent election in Australia, resulting in a change in administration, is signaling action that will help stimulate the struggling Australian economy. We also took important steps this quarter to restructure our Australian operations, consolidating locations and reducing overhead costs, which gave rise to several accounting charges that Barbara will discuss later. We've also been focused on improving our overall cost competitiveness, as evidenced by the $40-million decline in SG&A expense since 2011. This reduction equates to $0.22 per diluted share for 2013. Despite uncertain and volatile markets, we made key strategic investments in our businesses during the past fiscal year. In August, we commissioned a nonferrous downstream processing system at our Seguin, Texas shredder that will allow us to increase recoverable metallics. The project is still in the start-up phase but is showing early promise, and in some cases, exceeding expectations. We believe this technology can be employed in other markets in which we operate. In early fiscal 2013, we replaced and upgraded the furnace at our mill in South Carolina. This new equipment has enabled the facility to post several operating records. In fiscal 2014, we will replace 1 of 2 furnaces at our Polish mill and, thereafter, run the facility as a 1-furnace operation. The new, modern, efficient furnace will allow us to maintain production capabilities to meet market demand levels while improving our low-cost position in that region. We've also been committed to focusing on our core operations. During fiscal 2013, we sold our minority interest in Trinecke steelmaking operation, and we also made the decision to divest our copper tube manufacturing operation, Howell Metal, as announced in our press release last week. Consistent positive earnings for 8 consecutive quarters are indicative of our commitment to improve the financial performance of CMC. The investments and cost reductions I discussed earlier reflect our commitment to improve our overall cost competitiveness and should position our company to capitalize on the inevitable construction cycle recovery. We are hopeful that the positive market indicators previously discussed will translate into meaningful growth and margin expansion for CMC in the very near term. With that overview, I will now turn the discussion over to Barbara Smith, Senior Vice President and Chief Financial Officer. Barbara?
Barbara R. Smith: Thank you, Joe, and good morning, everyone. As Joe mentioned, for the fourth quarter of 2013, we reported net earnings of $4.1 million or $0.03 per diluted share. Continuing operations for this year's fourth quarter included after-tax LIFO income of $10.3 million or $0.09 per diluted share, compared with LIFO income from continuing operations of $16.9 million or $0.15 per share during last year's fourth quarter. Our fourth quarter net earnings were negatively impacted by several events, including asset impairment charges related to our Australian operations of $25.9 million or $0.22 per diluted share. As Joe said, factoring out the onetime charges of $0.22 per diluted share, results from operations would have been approximately $0.25 per share. Net earnings for the year ended August 31, 2013, were $77.3 million or $0.66 per diluted share on net sales of $6.9 billion as compared to the full year 2012, when we reported net earnings of $207.5 million or $1.78 per diluted share on net sales of $1.7 billion (sic)[$7.7 billion]. For the year ended August 31, 2013, after-tax LIFO income from continuing operations was $34.4 million or $0.29 per diluted share compared with after-tax LIFO income from continuing operations of $27.1 million or $0.23 per diluted share for the same period last year. Our Americas Recycling segment experienced an adjusted operating loss of $6.7 million for the fourth quarter. The quarterly loss was primarily driven by lower nonferrous shipments, as well as reduced nonferrous margins of $51 per ton. We shipped 60,000 tons of nonferrous scrap, which was a 3% decrease over last year's fourth quarter. Average ferrous scraps sold for $318 per ton during the fourth quarter, which represented a 3% increase over the $309 per ton reported in the fourth quarter of 2012. We shipped a total of 528,000 tons of ferrous scrap, which is up 2% over last year's fourth quarter. Our Americas Mills segment recorded an adjusted operating profit of $58.4 million for the fourth quarter compared to $63 million during the same period last year. Shipments and metal margins for the quarter were lower by 7% and 2%, respectively, compared to the prior year quarter. LIFO income declined $12.1 million compared to the fourth quarter of 2012. Our Americas Fabrication segment recorded an adjusted operating profit of $8.2 million for the quarter, an improvement of $6.7 million compared to the same period in 2012, despite a decline in quarterly LIFO income of $2.9 million. This performance marks the fifth quarter out of the last 6 that our Americas Fabrication segment has been profitable. The average selling price for the segment improved by $18 per ton. Our backlogs in this segment also remain healthy. Our International Mills segment reported an adjusted operating profit of $8 million for the fourth quarter compared to an adjusted operating profit of $5.4 million for the same period last year. On a sequential quarter basis, the performance improved by $11.8 million on seasonal shipping increases and resolution of the VAT circumvention scheme. While volumes and shipments this quarter were lower than volumes and shipments in the same period last year, we were able to achieve $15 per ton of metal margin expansion. We're encouraged by the outlook, as the Polish government has enacted necessary legislation to control VAT evasion schemes. Our International Marketing and Distribution segment fell to an adjusted operating loss of $16.2 million for the fourth quarter of 2013, compared to an adjusted operating profit of $1.5 million during the fourth quarter of 2012. The decline in performance from the same period last year is mostly due to the charges related to our Australian businesses for goodwill and other asset impairment. In addition, we closed some unprofitable locations. We believe these actions will strengthen the business for the future. Our European trading and warehousing businesses continued to suffer from weakness in the Eurozone. On a positive note, our U.S.-based trading divisions posted improved results when compared to the prior year's fourth quarter. Capital expenditures for 2013 were approximately $89 million. We are estimating our 2014 capital budget to be between $120 million and $160 million. We took many important steps this past fiscal year to improve our balance sheet strength. Reducing costs, improving underlying cash flows from operations, divesting certain noncore assets, as well as our previously announced notes offering, have resulted in the company having a strong liquidity position as we enter the cycle recovery of our end markets. Cash and short-term investments totaled $379 million as of August 31, 2013, which is an improvement of $116 million over the end of the prior year. Our available liquidity, including our $300 million revolver and other credit lines, is in excess of $1 billion. Thank you very much. I'll now turn it back over to Joe for the outlook.
Joseph Alvarado: Thank you, Barbara. In summary, we posted our eighth consecutive quarter of earnings. With respect to our 2014 outlook, we currently anticipate that business activity could begin to show a more meaningful recovery in construction end markets. As evidenced by our last 2 fiscal quarters, overall, the company is profitable. However, a curbing of rebar import activity from Turkey and Mexico would allow CMC to recapture market share and margins lost to these volumes. As a reminder, our first quarter marks the beginning of a seasonally slower period as holidays and winter weather begin to affect construction steel shipments in North America, as well as Poland and Northern Europe. Overall, fiscal 2013 was a solid year. We continue to make meaningful progress to improve our overall cost competitiveness and focus on our core strengths. With that, we look forward to continued success and progress in the future. Thank you for your attention. And at this time, we will now open the call up to questions.
Operator: [Operator Instructions] And our first question comes from Sal Tharani from Goldman Sachs.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Just wanted to get some more color on your comment about the meaningful recovery. What regions and what type of construction, where you're seeing -- you're expecting these? And what product do you think? Is it for both rebar and merchant bar or you think it will be more towards merchant bar or [indiscernible] construction?
Joseph Alvarado: So let me take that question. First and foremost, being in the Sun Belt helps an awful lot because construction activity in the Sun Belt, particularly in Texas, has remained fairly strong. We've seen some improvements in South Florida and more recently in the California markets, both Southern and Northern California. Private expenditures are included in that. So there's been some pickup in certain markets, but overall, we're fairly steady. Our backlog is -- remains strong and relatively same levels, a little bit stronger year-on-year. But in the aggregate, the recovery that we're alluding to is more isolated and regional. It's not widespread. Though the indicators of nonresidential recovery through some of the indices that we monitor on a regular basis continue to be quite favorable. And ultimately, those will translate into orders. That hasn't happened at this point, but our order book remains strong.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Got you. And in terms of your comment that your year-over-year backlog in Fabrication was up, how is it progressing sequentially?
Joseph Alvarado: If we were to cover that on a sequential basis, our backlog has been pretty flat at roughly 1.2 million tons in the aggregate. Better than 1/2 of that in the Fab business, really for about the last, I'd say, 4 to 6 quarters. There've been some dips below and above that, but that's about where we've been sitting. So we consider that to be a solid order book.
Operator: Our next question comes from Evan Kurtz from Morgan Stanley.
Evan L. Kurtz - Morgan Stanley, Research Division: So with the sale of the copper tube business and some of the write-downs in Australia, I'm kind of detecting maybe renewed focus on asset divestitures. Is that a fair statement? And are there any kind of other sales that we might be able to expect over the coming year or so?
Joseph Alvarado: Yes, Evan, we've been asked about our copper tubing business for years now, so we recognize that the -- our core competency is not in copper tube manufacturing. So that was a strategic buy for the buyer. And we think that Howell Metal is better and a company that's in the copper tubing business. But as it relates to others, we've been scouring the -- our portfolio for all kinds of opportunities, down to real estate sales of idle properties. So there's always an intent to make sure that we have a strong balance sheet and that we don't maintain idle assets. So I wouldn't call it a renewed focus as much as a continued focus on managing all elements of the balance sheet and to improve our balance sheet and our overall competitiveness.
Evan L. Kurtz - Morgan Stanley, Research Division: Got you. And one other question I had on just CapEx guidance for 2014. Would you be able to break out some of the pieces there? What is the new furnace replacement in Poland, and maybe some of the other bigger projects?
Barbara R. Smith: Yes. We don't break out each individual project, Evan. We put a range around it because, as evidenced by this past year, sometimes we make decisions to delay or defer. We have moved out the Polish mill rebuild until 2014. That's probably the near term, one of single biggest projects that we have. But we are looking at deploying the downstream processing at some of our other location, depending upon the results from -- of the new unit that we just started up in Seguin. So some of it is just normal-cycle maintenance type of work, like furnace rebuilds and et cetera, and then others are special projects, like the downstream shredding.
Evan L. Kurtz - Morgan Stanley, Research Division: Got you. Is there any sort of number we should use just for maintenance going forward, and given the type of the changes in the asset base over the past couple of years?
Joseph Alvarado: Evan, the number that we've talked about and, generally speaking, as pure maintenance is in the $80 million range. And investments over that are normally enhancements or expansions of capability or improvements in cost efficiencies. And certainly, the furnace rebuild in Poland is exactly that. It's replacing the existing equipment with faster, stronger, more efficient operating capability in the melt shop without compromising on production capability.
Operator: Our next question comes from Timna Tanners from Bank of America.
Timna Tanners - BofA Merrill Lynch, Research Division: Just along the same line, trying to see if -- since you've given us new 2014 CapEx, in light of the divestitures or changes, how should we think about overhead and SG&A?
Barbara R. Smith: Well SG&A has been coming down, as you have seen, over the last several years. And I think if you target it at the levels that we've been experiencing the past few quarters, that's kind of a steady-state level. Obviously, we're always looking for ways to be more efficient and reduce costs, and that work will continue. But for modeling purposes, I think in that $115 million-a-quarter range is probably appropriate.
Timna Tanners - BofA Merrill Lynch, Research Division: Okay, that's helpful. And then also, if we could think a little bit about LIFO income, that's been a benefit, of course, in the last several quarters. And is that just scrap price move or is it the amount of inventory? Is it a structural change that you've been reducing working capital and that's part of what's been driving? Or how can we think about that going forward? What are the main drivers of how to think about your LIFO income or expense?
Barbara R. Smith: Yes. The biggest driver is your first point, Timna, which is movements in scrap price. And so -- and movements in finished or semi-finished product pricing will have the biggest impact. However, we're always, again, looking at ways to run more efficiently, including more efficiency in our working capital days. You'll also recall, back to the December-January time frame, where we saw an increase in working capital, which is also typical moving into the busier season, the busier time of the year. And we normally take advantage of the slower quarter, our slower second quarter to take care of various maintenance requirements. And so you might see us build some inventory ahead of those planned maintenance outages. But yes, we are working on working capital efficiency, in addition to all those other things that I talked about.
Operator: Our next question comes from Luke Folta from Jefferies.
Luke Folta - Jefferies LLC, Research Division: Two questions. I guess, firstly on your -- what you've done as far as restructuring in Australia. Can you give us a sense of how much cost that takes out of the system? And if -- post those actions, is the Australian operations, are they now profitable on a go-forward basis?
Barbara R. Smith: Yes. So the impairment -- the specific impairments, you run an annual impairment test of your goodwill and your assets. And obviously, with a difficult market environment in Australia, it triggered the impairment charges. At the same time, we also had to put a valuation reserve against their deferred tax asset. And that's, again, a very mathematical accounting equation, where you look at cumulative losses. Clearly, the other things that we've been doing, such as consolidating locations, closing locations, working to reduce their overhead costs, are also aimed at improving the financial performance in Australia. And clearly, we are expecting that, that will help Australia return to profitability, along with we are also anticipating, under the new President in Australia, that we will see a slightly more stimulative government posture and some improvement in their overall economy. And market conditions will help restore profitability in Australian operations.
Joseph Alvarado: I guess, what I would add to that, Luke, is that will be gradual. It's not something that's going to change overnight. So the efficiencies of shutting down operations and reducing our costs will help restore profitability, but I wouldn't try and model it to be a dramatic change quarter-on-quarter.
Luke Folta - Jefferies LLC, Research Division: Okay, all right. And then on Recycling, just -- it looks like nonferrous is the culprit there in driving the loss in the quarter. I wanted to understand more how much of that was an inventory impact, in the sense that maybe as prices came down, there was holding losses or something associated with that? I guess, what I'm trying to get at is if prices were to stabilize from here, would that business be operating at a loss or is this more of kind of a onetime timing issue?
Joseph Alvarado: Luke, we really work hard to turn inventory, both of ferrous as well as nonferrous, and I think we're pretty good at it. We learned lessons from the past, so very little of any of the change would be related to inventory or positioning. We don't do that, either on the downside or the upside. So mostly, it's just reflection of the market pricing and what's been going on in the market. And recycling activity is softer. There's no doubt about that. And flat pricing in ferrous and nonferrous markets, without some of the volatility that we've seen in the past, is a more challenging market for all recyclers, including us.
Luke Folta - Jefferies LLC, Research Division: Okay. And maybe just as a follow-up to that, and to the extent that losses continue in Recycling, is there footprint reductions or restructuring efforts that you would do in that business as well, if you had to?
Joseph Alvarado: Yes, if we had to. We've done that in the past. But most of the facilities that we have also are strategically located to service our mills. So it would be in the outer reaches, where there might be some need to do that, but we don't envision that just yet. It's all part of a well-integrated network. But, of course, if this were to be sustained, then we'd have to look at that.
Operator: Our next question comes from Brian Yu from Citi.
Brian Yu - Citigroup Inc, Research Division: My first question is a follow-up on Luke's. So with the nonferrous, do you have a hedging program in place to protect from market movements, market price movements?
Barbara R. Smith: Yes, we do. We do look at that, and we do execute on those strategies from time to time.
Brian Yu - Citigroup Inc, Research Division: Okay. And so that's part of what, Joe, you were talking about is that -- that's why you guys don't see much of an impact. You'll say the market price does move quite a bit, as you effectively try to lock in those margins, but, I guess, the market is just a little -- much more competitive so people are having to bid up to get the material. Is that correct?
Joseph Alvarado: Yes.
Barbara R. Smith: Yes, that's definitely a factor at this current time.
Brian Yu - Citigroup Inc, Research Division: Okay. And how does, if at all, the commissioning of the Texas or Seguin nonferrous shredder, will that impact your volumes or profits on a go-forward basis?
Joseph Alvarado: Yes. As we've pointed out before, Brian, that's a significant -- it's a salvage operation is what it is, to help recover as much of the metallics, both ferrous and nonferrous, as possible. And so it's a significant cost reduction for us with a quick payback for the investment. That's why we made the investment. It also reduces what goes to the landfill that previously had value that we were burying, and now we'll recover. So for us, we thought it was a very worthwhile activity initiative, and that's why we're looking at further downstream recovery systems in some of our other shredder or large scrap concentration areas.
Brian Yu - Citigroup Inc, Research Division: Got it. The last one, if I might. The Polish VAT, so that was enacted in October. Did you start to see some of that benefit in October and November? Or the lag effect, as we think about your fiscal 1Q, do you see it having maybe more like a full 2-month or 3-month impact, positive impact?
Joseph Alvarado: Yes, we expect a full-month impact or full-quarter impact in the -- in our first fiscal quarter. We saw some of the benefits, as we noted. Already, the fourth quarter showed some the benefit of that. That continues into September. And the downside in Poland is it's not unusual to get snow in November in certain parts of Poland. So we caution on the seasonality in Poland being a little bit more extreme than what we might see in our North American operations, because we're mostly Sun Belt located for construction activity. But yes, we saw the -- we should see a full-quarter benefit, and we saw the initial benefits in the end of our fourth quarter.
Operator: Our next question comes from Brent Thielman from D.A. Davidson.
Brent Thielman - D.A. Davidson & Co., Research Division: Just on the restructuring in Australia, just to clarify. Do you have the same addressable capacity in that market? Or do we think of Australia as being a smaller deal for CMC going forward?
Joseph Alvarado: In the aggregate, we believe that we can service the market from some of the existing locations. We were spread pretty thin regionally. And some of our decision was based on the fact that some of the markets, for example, in Queensland could be serviced from our Brisbane operations -- or North Queensland. So we -- and we didn't feel we're losing any competitive advantage because that's the way some of our competitors service that market, because there just isn't enough volume or activity. But in the aggregate, we can't move as many times as we might move locally. But I wouldn't look at it as a big change. For us, it's about getting profitable and doing the most economic and economically efficient thing, and we think we've done that. But in the aggregate, there's still a lot of upside in the Australian market as demand picks up. So we believe that we can maintain our fair share of that with the existing facilities.
Brent Thielman - D.A. Davidson & Co., Research Division: Okay. And then I guess any comments or thoughts in terms of the timeline on the trade case rebar here in the U.S.?
Joseph Alvarado: Boy, I think you'd have to dial 1 (800) U.S. government to figure that one out. They have a significant backlog, and the recent shutdown seemed to put all of Washington behind schedule a bit. So I don't really have anything current. So I've been told it's about November 1. That's preliminary. Yes. Don't be surprised if that moves though, Brent.
Operator: Our next question comes from Phil Gibbs from KeyBanc.
Philip Gibbs - KeyBanc Capital Markets Inc., Research Division: Barbara, the $26 million of costs, as you pointed out, for the Australian operations in the quarter, you had also called out in your release onetime exit costs associated with moving away from some unprofitable businesses. Is that -- are those onetime exit costs in that $26 million? And if they're not, can you give us a sense of the magnitude?
Barbara R. Smith: It was not included in that. So it was at least a couple of million dollars, and we had some other severance charges for various and sundry actions taken around the world, but we just didn't call those smaller items out.
Philip Gibbs - KeyBanc Capital Markets Inc., Research Division: Okay. And the crossover from a 2-furnace operation to a 1-furnace operation in Poland, there'd obviously be some nice conversion leverage associated with that. But when does that transition take place in your mind right now?
Joseph Alvarado: The planned start-up is late March, early April. And as you know with melt shops, there's always a little bit of a start-up, in particular, melt shops debugging process. But we did North Carolina -- the South Carolina operation. It came onstream rather quickly. The debugging was minimal, and we're sharing everything that we've learned from the start-up. But we always anticipate a little bit of slowness. And it's -- Poland is not the same as South Carolina. So late March, early April, but I would think that we really won't go to a -- purely a 1-furnace operation until later in the summer.
Philip Gibbs - KeyBanc Capital Markets Inc., Research Division: Okay. And I just have one follow-up, if I could. The scrap export market, Joe, from a broad picture, how do you see the volume momentum for the market shaping up for calendar 4Q, as far as the ferrous and nonferrous markets?
Joseph Alvarado: That's a really good question. With the activity that we're seeing, there had been significant -- and have been, for a long time, significant shipments to Turkey, in particular. And there were some back-to-back activity that was associated with bringing rebar in and taking scrap out. And I would anticipate that if we're successful in the trade case, that would have some impact on the flows of scrap. But it's such a dynamic situation right now with global overcapacity and a lot of pricing pressure, so it's really hard to say where scrap markets are going. We see them as flat in the near term, and that would include the impact of export activity. This flatness continues, and you might recall a couple of years back, we had about 6 or 7 months of very flat pricing in scrap, mostly owing to global demand, and we might be in one of those periods. And that might mute some of what is normally a seasonal pickup in November and December before the holidays. It's just really hard to tell right now. So -- and we're not real big players in ferrous exports, but our nonferrous is an active export program. And I don't see any dramatic changes in activities in the near term.
Philip Gibbs - KeyBanc Capital Markets Inc., Research Division: Okay. I'm encouraged with all your strategic progress. I appreciate it. Keep it going.
Operator: And our next question comes from Mike Gambardella from JPMorgan.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: A couple of questions. One, just going back to the nonres construction recovery that you're seeing. Can you talk a little bit about the breakdown between government infrastructure projects and private sector spending?
Joseph Alvarado: Yes. We're going to look that up quickly.
Barbara R. Smith: Yes. Give us a minute. But our backlog has continued to improve from, as you recall, a couple of years ago, about 70% was public and 30% was private, and that's been continuing to shift. And I think we're at a mix of about 60-40 at this stage in terms of our backlog. We're looking -- we're trying to look up the bid activity, but I believe the bid activity is skewed even more towards private away from the public.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: Okay. And then second question just in terms of the big improvement that you've talked about in SG&A from 2011. Was the biggest component of that improvement a decline in SAP costs?
Joseph Alvarado: That, for the most part, had been taken care of. We're not spending on SAP at that level. This is really more consolidation of some of the IT infrastructure, not associated with SAP anymore. And that's part of the problem was we carried over a lot of people and staff. So -- but there's been cuts across the board in everything that we do here and throughout the organization in trying to reduce our SG&A. But there's no doubt that IT costs were a significant component, but not so much associated with SAP as much as what I would call the overhang of staffing related to the project.
Barbara R. Smith: And early on, Mike, we did a benchmarking exercise to our SG&A, and that really helped to -- helped us develop a path to reduce SG&A. But it is very broad-based across all aspects of the business. And I did look up the bidding. The bidding is a similar 60-40 mix.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: And that's 60% on the public side or private side?
Barbara R. Smith: 60% public, 40% private.
Operator: [Operator Instructions] Our next question comes from Tom Van Buskirk from Sidoti & Company.
Tom Van Buskirk - Sidoti & Company, LLC: I wanted to see if we could get a better sense now in the current environment with some of the things you've done with how the International Marketing and Distribution segment actually breaks out in terms of what the operating income contributors are with the current sizes of the business and what you're expecting. I know you mentioned domestic trading being a little bit better, and I know -- I see what you've done in Australia. But I just want to get a sense of proportion going forward.
Barbara R. Smith: Yes, Tom, as you know, we don't give specific guidance and certainly, we haven't historically broken out that segment in that level of detail. But you can think of it as, really, the 3 different regions. So we have our domestic raw material and steel trading business that moves a lot of product around the world that is based here out of the U.S. And that has been profitable, and it continues to be profitable. But I will say that margins remain very, very thin. There's a lot of competitiveness in terms of the margin you can capture on whatever activity's out there. Europe, as Joe mentioned, continues to be challenging and difficult, so we are not expecting a dramatic change there. But that's a much smaller piece of the overall business. And then Australia, as we commented earlier, it's been a portion of the business that's been under pressure from the economic market -- Australian market perspective. They have been losing money, and we do expect these actions to restore profitability. As Joe said, it's going to be a gradual thing as we complete all our cost reductions and as that market begins to turn around. So in the near term, any profitability would be driven by our domestic business.
Tom Van Buskirk - Sidoti & Company, LLC: Okay, that helps a little bit. I guess, basically, we sort of have to look at this then, for the next few quarters, as being -- if it's a net profit contributor, then it's going to be somewhat smaller than it had been in the past periods.
Barbara R. Smith: Yes, I think that's fair to say.
Operator: Our next question comes from Chuck Bradford from Bradford Research.
Charles A. Bradford - Bradford Research, Inc.: I'd like to first talk a little bit about the scrap price situation. I heard what you said, but you didn't mention the big new core DRI plant that's coming online probably towards the end of the year. I know that's more likely to impact higher-quality scrap than you typically use, but how do you see that impacting the market and maybe gravitating to other grades?
Joseph Alvarado: But Chuck, as you know, the price of scrap is very sensitive to other available metallics in the marketplace. And some of what has been reported or that I've read is that, in many regards, the DRI will be replacing pig iron production -- or not -- or purchases that they've been engaged in for a long period of time, which is -- it's a great substitute, on an end-unit[ph] basis, and cheaper for them, I'm sure, to produce DRI than to buy pig iron. But ultimately, as they are consuming more DRI, I would expect it would have some impact on prime grades. But with the start-up in December, January. I'm not sure when the actual start will be. And learning curve on the DRI facility, I wouldn't expect any impact until the end of the first quarter. And I'm not sure how measurable it will be, but we're anxious to find out what impact it will have on the market.
Charles A. Bradford - Bradford Research, Inc.: Okay. In Australia, the currency has been, obviously, pretty weak. That would seem to be helpful to local manufacturers, but that's not you. You're more a distributor. And the issue could be translation of whatever profits back to the U.S. But do you see the customer base that you are serving getting held by the weaker A dollar?
Joseph Alvarado: Yes. And Chuck, if you think about our Australian basis -- our business, it's somewhat a mirror of our North American exposure on an end market basis. So less oriented towards mining, which would be manufacturing, a big manufacturing business in Australia, more oriented towards construction. So our fate is closely tied with construction activity in Australia, including residential and nonresidential. So that's why we talk about strength of the Australian market in residential construction, permitting and expansion of activity, which we believe is a precursor of more construction activity, which is beneficial to our business. But in terms of serving manufacturing, a lower component of our business in Australia than it might be in some other places, and mining is a small portion of our business there. So it all comes back to construction markets. And the weaker dollar, I'm sure, will help the Australian economy in the aggregate.
Operator: And at this time, there appear to be no further questions. Mr. Alvarado, I'll turn the call back over to you for closing remarks.
Joseph Alvarado: Okay. Well thank you, everyone, for joining us on today's conference call. We appreciate it, and we look forward to meeting with many of you in our investor meetings in the near future. Thanks very much. Goodbye.
Operator: And ladies and gentlemen, this concludes today's Commercial Metals Company conference call. You may now disconnect your telephone lines.